Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Second Quarter 2017 Results Conference Call. All participants are at present in listen-only mode. Following Management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of the changing industry and market trends, reduced demand for our products, the timely development of our new products and the adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand the call over to Mr. Yuval Viner, CEO of the Company. Go ahead Yuval.
Yuval Viner: Thank you for joining our quarterly call today. I am pleased with the second quarter results that reflect continuing profitability and improve of financial position. I'm confident that we will meet our annual goal of $0.5 million net income and growth in revenues as compared to year 2016. We are continuing our day-to-day efforts to expand our product offering, increase our market share, reduce cost and improve our operational performance. I'm sure that those efforts will continue to support our organic growth of revenues and profit year-by-year. Now, I would like to turn the call to Mr. Eyal Cohen, Co-CEO and the CFO of BOS.
Eyal Cohen: Thank you, Yuval. As Yuval stated, BOS has increased its outlook for profit and revenues year-to-year and we have never missed our target since our appointment in 2010. In order to increase our growth and profit, and market rate going forward, we will have to do it through acquisitions in addition to our organic growth. I am investing extensive efforts to allocate appropriate candidates for acquisitions. We are looking for synergic acquisitions for our two divisions. Acquisitions of companies which are profitable and in a size that we can smoothly integrate and finance. I will use my extensive experience and conservative approach for successful acquisitions. Thank you very much.
Operator: Thank you. Ladies and gentlemen at this time we will begin the question-and-answer session. [Operator Instructions]. The first question comes from [indiscernible] from RHK Capital. Please go ahead.
Unidentified Analyst: Hey guys congratulations on another good quarter there. Just had a quick question on your sale cycle, when you announced some of these contracts, how long does it usually take before you start realizing revenue and are they front loaded or are you getting paid installation cost or does most of your revenue start later after installation is complete?
Yuval Viner: I will take this question. Actually we have two kinds of revenues from our two divisions. So the supply chain divisions, the contract that we announced are usually delivered within a year, gradually. And once we delivere the project, we recognized the revenues. And on the other division, RFID and mobile, usually when the project is of a short period project or it’s about three months and we recognize the revenues at the end and at the completion of the quarter.
Unidentified Analyst: Okay, thank you and congratulations again on another good quarter.
Yuval Viner: Thank you.
Eyal Cohen: Thanks.
Operator: [Operator Instructions] The next question is from [Bob Jenson]. Please go ahead.
Unidentified Analyst: Yes, I’m just curious how do you plan on financing any future acquisitions?
Eyal Cohen: I will take this question. As I mentioned, we are looking for acquisitions that are in the size that we can smoothly finance. I believe that in most of the acquisition will be financing by three elements. One is, one-third will be by cash and other will be by commitment to the service side and for the third will be by raising additional equity. But we are not a big company, we are selling about $30 million and the size of the company that we are claimed to buy won't be higher than $3 million acquisition, I believe, this was a commitment. But I believe that this won't be higher than this amount.
Unidentified Analyst: Your stock price is extremely low. I’m concerned that you guys continue to dilute with additional shares at such a cheap stock price. I think that scares investors away from you guys.
Unidentified Company Representative: Actually you will be surprised but from in the last eight months we raised only $190,000. This is only the amount that we raised as a public company and so I don’t think that the reason for the low share price is shares that we are selling in the market.
Unidentified Analyst: I cannot agree, but that’s okay. Thanks.
Operator: There are no further questions at this time. Before I ask Mr. Viner to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the company website www.boscorporate.com by tomorrow. Mr. Viner would you like to make your concluding statement?
Yuval Viner: Yes, thank you all. And talk to you again in our next conference call. Thanks.
Operator: This concludes BOS’s second quarter 2017 results conference call. Thank you for your participation, you may go ahead and disconnect.